Operator: Good morning, and welcome to the GeoPark Limited Conference Call following the Results Announcement for the First Quarter Ended March 31, 2019. After the speakers’ remarks, there will be a question-and-answer session. [Operator Instructions] If you do not have a copy of the press release, please call Sard Verbinnen & Co. in New York at 212-687-8080 and we will have one sent to you. Alternatively, you may obtain a copy of the release at the Investor Support section on the company’s corporate website at www.geo-park.com. A replay of today’s call may be accessed through this webcast in the Investor Support section of the GeoPark corporate website. Before we continue, please note that certain statements contained in the results’ press release and on this conference call are forward looking statements rather than historical facts and are subject to risks and uncertainties that could cause actual results to differ materially from those described. With respect to such forward looking statements, the company seeks protections afforded by the Private Securities Litigation Reform Act of 1995. These risks include a variety of factors, including competitive developments and risk factors listed from time to time in the company’s SEC public reports and public releases. Those lists are intended to identify certain principal factors that could cause actual results to differ materially from those described in the forward looking statements, but are not intended to represent a complete list of the company’s business. All financial figures included herein were prepared in accordance with the IFRS and are stated in the U.S. dollars unless otherwise noted. Reserves figures correspond to PRMS standards. On the call today from GeoPark is James F. Park, Chief and Executive Officer; Augusto Zubillaga, Chief Operating Officer; Andres Ocampo, Chief Financial Officer; and Stacy Steimel, Shareholder Value Director. And now, I’ll turn the call over to Mr. James Park. Mr. Park, you may begin.
James Park: Thank you, and welcome, everyone. We’re joining you this morning with our executive team from Bogotá, Colombia. We are pleased to report another record quarter of operational and financial performance. Oil and gas production up 23%, revenues up 21%, EBITDA up 46%, transportation and commercial costs down to $2 per barrel in Colombia, free cash flow of $44 million, net profit of $20 million, cash on hand of $147 million, continued returning value to our shareholders by investing $16 million in our buyback program, and now we have seven rigs operating across our Latin American asset base. Given the fundamental long-term nature of our business, it’s helpful to step back from the quarterly developments and also look at the bigger picture with our approach, our foundation and our sustained performance, which differentiate GeoPark from the pack. We started out with an ambitious long-term vision and plan, which we have consistently worked to build and execute. We agreed on the required skill sets to achieve this plan and have steadily invested in and built these capacity to create the strongest oil and gas team in the region. And we developed an ESG value system from the get go, which we call SPEED to ensure we are the employer of choice, the partner of choice and the neighbor of choice wherever we are operating. Our strongest metric validating with big price approach is GeoPark’s 16-year track record of consistent growth in production, reserves and net asset value, which has occurred regardless of whatever financial industry or political crisis has been thrown at us. Our oil fighting ability is demonstrated by a 70%-plus drilling success rate after drilling 300 wells, with over 350 million barrels discovered. We currently have over 180 million barrels of net certified 2P reserves valued at $2.7 billion. Our technical and operating know-how has led to peer leading cost efficiencies with finding and development costs of just $3.60 per barrel and operating cost as low as $4 per barrel in Llanos 34. Our capital allocation discipline gives us an exceptional investment efficiency, which generates $3 of operating netback for every $1 we invest and with a return on capital employed of 38% over the last 12 months. With more hydrocarbons and less cost, our cash generation keeps picking up speed with an EBITDA of $360 million and free cash flow of $130 million over the last 12 months. And we have an unit light [ph] organic project inventory to continue growing production in reserves, which is all self-funded from our own cash flows and builds on a rich platform of over five million acres in 29 blocks in 10 hydrocarbon basins in six countries. We also have developed a $4 billion-plus inventory and new potential acquisition projects across the region and have proven our ability to develop important partnerships and strategic alliances. The international investment community has taken increased notice of GeoPark’s performance and rewarded our shareholders by making it the best performing upstream oil and gas company on the New York Stock Exchange for the last two years in a row. Importantly, all of this strong short, medium-term performance gives us the luxury and needs to look further down the road and acquire more ammunition for the long haul. For example, our recent successful entry into Ecuador is a major advancement, one of biggest most attractive underdeveloped petroleum systems in Latin America and a long-term target of GeoPark is a Maranon-Oriente-Putumayo basin complex stretching from Peru through Ecuador and into Colombia with over 10 billion barrels of remaining conventional hydrocarbon resources. With our existing platforms in Peru and Columbia, our Ecuador entry into this giant oil province substantially opens up our growth horizon for many years to come. Thank you, and we’ll be pleased to take your questions.
Operator: Thank you. The floor is now opened for questions. [Operator Instructions] Our first question comes from Gavin Wylie of Scotiabank.
Gavin Wylie: Yes, thanks. Just a couple of quick questions from me just on the – more or less on the CapEx side and free cash flow side. So we have kind of – Vasconia is running much better than expected, costs have become, I’d say in line maybe even a little bit better than expected. And when I think of Peru being delayed, that maybe frees up somewhere in the realm of about $100 million of CapEx that can then be pushed into other projects. And I know that at the presentation you’ve got the $80 case that shows $270 million of CapEx. So the two questions I have are, first is, what do you expect CapEx to be for 2019, given the fact that you have deferred some of that Peruvian expenditures? And two, where is that incremental capital going? And three, given the fact that you’re probably producing about $150 million of free cash flow this year, how are you prioritizing your sort of debt repayment and buybacks? Because you weren’t really super active on the buyback here in the first quarter. And just wondering if that’s going to kick up as we go through the balance of the year? Thanks.
James Park: Thanks, Gavin, and good morning. Yes, as you pointed out with the deferral Peru barrel oil prices that we had anticipated in our budget, we are seeing more free cash flow. To your point about the coverage for, I mean, 2019, we’re estimating it’s going to be around $140 million to $150 million. The – our business units are continuously looking for different projects that they present and we are doing almost make an ongoing capital allocation methodology, where we are just looking for project and finding in our current portfolio opportunities for us to invest. All buyback programs needs one of those. And with the entire free cash coming from lower cost and higher oil prices and the return of the bulk of Peru coverage for next year, yes, you should expect more cash being allocated to our buyback program during the – at least during the second and third quarters of the year or probably the remaining of the year So far, we have invested $16 million and bought back 1.1 million shares more or less. So we should expect that to pick up probably in the months that are coming forward.
Gavin Wylie: Just as a follow-up to that buyback question. Have you guys thought about or looking at doing an automated buyback that wouldn’t be subject to blackouts or are you just going to stay on the discretionary path?
James Park: No, we do both. On growth periods we put it automatic and local periods we do it on manual basically. but we have been doing it that way. But the automatic order that the buybacks have been receiving was probably more conservative views in the last few months than it should be going forward.
Gavin Wylie: Perfect. Thank you.
James Park: Sure.
Operator: Your next question comes from the line of Jenny Xenos of Canaccord Genuity. Jenny, your line is open.
Jenny Xenos: Good morning. Can you hear me?
Operator: Yes, we can hear you.
Jenny Xenos: Great. Thank you very much. Good morning and congratulations on a great quarter. I have four questions, please. First, with regards to the commercial and transportation discounts, they have improved substantially in the first quarter of this year. What was behind this reduction? And is it sustainable for the remainder of the year and going forward? Second, when do you expect the Cuerva and Yamu disposition to close? Third, could you please give us an update on the EIA approval in Peru? And finally, with regards to the IFRS 16 adoption, you’ve had about a $1.3 million positive impact on your profit if I understand it correctly. How will you be reporting it going forward? Will it always be kind of below the EBITDA line or will it become part of your kind of operating with future reporting? Thank you.
James Park: Great. Thank you, Jenny. With respect to the commercial discounts, just a couple of things. Well, the main item here is that the commercial and transportation discount this quarter has reported were reduced by $2 per barrel. We are expecting our flow line to be in operation before the end of the month. And with that, we expect for the second-half of the year, an extra dollar on top of the two that we have already achieved. And then, your second question was Yamu, Cuerva closing sorry, the – really that’s on the hands of the ANH, who are pending their approval to effective the transfer of the assets. Hopefully, somewhere in the second quarter, so before the end of the quarter it should happen. Unfortunately, it is a bit outside of our hand, but we shouldn’t expect any problems. This is an asset that had been transferred from qualified operator to another qualified operator. So we really expect no surprise in there. But unfortunately, sometimes these delays do happen. On – with respect to EIA in Peru, we – there were some delays, part of those were on our side. Our team took their time to really address every single item that was included in the feedback from all the stakeholders into the EIA. With that said, [indiscernible] was fine back to Peru to the [indiscernible], that now will be in the hands of them to process and come back with – to us with the final approval. We expect that to occur also before June, hopefully before June this quarter basically. With that, I think we mentioned this in the previous calls or with that timing, we would expect the first time to occur still in 2020, more towards the last quarter of the year than the first as we had said in the past. In the meantime, the team is doing great progress on all the works that can still be advanced prior to getting the EIA approved. For example, we penalized the upgrading of the work at the base camp to be receiving the loans that are going to come once we are in operation. The flexi pipe has been built, transported to Lima and now it’s on the way to the camp. So everything that we can do to accelerate in the meantime until we get the approval is being done. So the project still moves, but we will expect that to get the approval towards – before the end of June. And then your last question about IFRS 16. As you pointed out, you see the $1.3 million impact in our financial statements. Strategically, what that – this new rule is during some of the leases that we have. We have to account them as both assets and liabilities, and then some of them get removed from the lines, OpEx lines or G&A lines. So it’s – on the assets and liabilities, it’s around $14 million on each. Half of that is associated to the leaking of the compression plan in formality. So if you look – in our financial statements, you won’t be able to reconcile the OpEx lines or the EBITDA lines. But in our earning release, if you look at our adjusted EBITDA lines, all of the OpEx lines and every single item that is included in our earnings release has been reconciled to be consistent in the past and going forward. So every time we disclose our adjusted EBITDA numbers, they are consistent to the accounting methodology that we used in the past. And you can see the isolated impact on the set 1 note 2 on the financial statements.
Operator: [Operator Instructions] Sorry.
James Park: I don’t know if that clears the question from Jenny, if there’s any follow up?
Operator: [Operator Instructions] I would now like to turn the call back over to Jim Park for any closing or additional comments.
James Park: Thank you, everybody, for your interest in GeoPark and your continued support of the company. We encourage you to please visit us and our operations in each country and call us at anytime for more information. Thank you.
Operator: Thank you. That does conclude today’s GeoPark Limited conference call. You may now disconnect.